Operator: Good morning. My name is Crystle and I will be your conference operator today. Thank you for joining us for this conference call for OFG Bancorp. Our speakers are José Rafael Fernández, President, Chief Executive Officer and Vice Chairman; Ganesh Kumar, Senior Executive Vice President and Chief Operating Officer; and Maritza Arizmendi, Executive Vice President and Chief Financial Officer. A presentation accompanies today’s remarks. It can be found on the Investor Relations website on the homepage in the What’s New Box or on the Webcasts, Presentations and Other Files page. This call may feature certain forward-looking statements about management’s goals, plans and expectations. These statements are subject to various risks and uncertainties outlined in the risks factor section of OFG’s Securities and Exchange Commission filings. Actual results may differ materially from those currently anticipated. We disclaim any obligation to update information disclosed in this call, as a result of developments, which may occur afterwards. All lines have been placed on mute to prevent any background noise. And after the speakers’ remarks, there will be a question-and-answer session. I’d now like to turn the call over to Mr. Fernández.
José Rafael Fernández: Good morning. Thank you for joining us today. I will review the quarter’s results. Ganesh and Maritza will join us for the Q&A. As we’ve done in recent calls, we’ll focus our prepared remarks on key highlights and then we’ll open the call for questions. Please turn to Slide 3. This morning, we reported strong first quarter results. Earnings were $0.29 per share, that is similar to fourth quarter and 12% higher than a year ago. We experienced strong performance across the Board. Net loans grew 8% on an annualized basis from the last quarter. New loan generation was more than $300 million in the quarter. Customer deposits increased 2% from December 31, and net interest margin expanded 14 basis points. Credit also performed well, nearly all of our loan moratoriums expired during the quarter. Most of our credit metrics were better than, or returned to, pre-hurricanes levels. Our strong capital position continue to build. Tangible book value per common share increased 2.5% year-over-year to $15.71. Total risk-based capital ratio continue to exceed 20%. Please turn to Slide 4. Our first quarter results reflected both the success of our strategies and Puerto Rico’s emerging recovery. Today marks seven months since Maria hit the island. Puerto Rico is now benefiting from a wide variety of factors, loan payment moratoriums by Oriental and other banks, increased availability of electric power, improvement in communications, all of which has led to return of day-to-day stability. In addition, the island is benefiting from rebuild spending by FEMA, the start of payments of insurance claims, and the prospect of a growing amount of federal funds. This has enabled OFG to return to our performance prior to the hurricanes and is setting the stage for potential future growth. Please turn to Slide 5. Nearly every metric in the first quarter confirmed our progress. For the second quarter in a row, our originated loan growth outpaced the pay down of acquired loans. Auto, consumer and mortgage loan production at $192 million, increased 52% from the fourth quarter and more than 11% from the year ago quarter. At a record $128 million, auto reflected consumers’ need to replace damaged vehicles, pent-up demand, and the market’s effort to adjust to one less auto lending competitor. Consumer loan production rebounded more than 60%, exceeding pre-hurricane levels, as retail customers began to replace needed items and repair homes. Mortgage loan production also rebounded more than 60%, as it became easier to sell and buy homes again. Commercial loan production in Puerto Rico was lower than the fourth quarter, but up more than 13% year-over-year. Our bankers are continuing to build relationships with businesses participating or positioning themselves to participate in Puerto Rico’s recovery. On our recently established OFG USA program added $74 million in commercial and industrial-related loans. These consisted of participations across a broad array of industries and geographies on the mainland. While pricing on originated loans declined 6 basis points, net interest margin got a boost from higher-yield in investment portfolio and from cash balances. Please turn to Slide 6. Other business trends were positive or heading in the right direction. Fee revenue came back with a 24% sequential increase in Banking Services and a 43% increase in Mortgage Banking. Core Wealth Management held steady at pre-hurricanes levels. Customer deposits increased $78 million, while the cost of deposits continue to decline. We are pleased to note that we benefited also from non-interest bearing accounts totaling more than $1 billion for the first time. The efficiency ratio returned to pre-hurricane levels, but there were some seasonality higher expenses there. Please turn to Slide 7. Credit quality remains stable. The net charge-off rate remained level with the fourth quarter. Within the mix, the rate for consumer lending increased returning to pre-hurricane levels, while the rate for other categories remained flat or declines. Non-performing loan rate increased 51 basis points due to one commercial loan and auto loans coming off moratoriums. The commercial loan is for $10.5 million, it is current in its monthly payments, but we placed it in non-accrual due to credit deterioration post-Maria. Total delinquencies returned to pre-hurricane levels as most of the moratoriums expired. You might recall, delinquencies fell during the fourth quarter due to lower inflows, reflecting the automatic moratoriums we offered, and to a lesser degree, payments received on moratorium loans. Please turn to Slide 8. If you recall the third and fourth quarters included incremental provisions to increase the allowance for hurricane-related impact on loans. In the first quarter, total provisions fell more than $9 million from the fourth quarter to $15.5 million. Even without decline, first quarter provision included $8.6 million to replenish the allowance for retail loan charge-offs related to the hurricane. First quarter provision also included an increase in allowance related to auto loan portfolio growth and for that one commercial loan placed in non-accrual that I mentioned earlier. As a result, we continue to increase our allowance, both in dollars and in percentage of loans held for investments. Please turn to Slide 9. Another factor in our success has been our ongoing efforts to differentiate Oriental through superior service and digital banking technology. What we call our Vive la de Francia strategy. This quarter, we introduced My Payments, Mis Pagos, enabling our loan-only customers to pay online instead of standing in line at a branch. As a result of efforts like this, we’re proud to report net new customer accounts grew at an annualized rate of 8% in the first quarter. These significantly exceeds our 2% increase for the full-year 2017, which was affected by the hurricanes and it also exceeds our 5% rate in 2016. Please turn to Slide 10 for our capital ratios. We’d like to point out that our capital metrics have continued at the high-levels we saw in 2017, which were significantly higher than five years ago. And please turn to Slide 11 for our outlook. With power and telecom getting close to complete, although not reliable, restoration to day-to-day life has begun stabilizing for businesses and consumers. We’re also starting to benefit from insurance money and federal spending trickling down through the economy. On a more personal level, we’re beginning to see some optimism building on Puerto Rico’s business leaders and entrepreneurs. But I’m going to have to repeat some of what I said on the last call. Puerto Rico is far from being out of the woods. Short-term, we’re still waiting for insurance and federal money to really start flowing. Long-term, we must develop a lasting solution to PREPA, lower cost reliable, resilient, independently regulated electric power is the single most important thing Puerto Rico needs to date. We also most permanently resolve the island’s fiscal problems. The fiscal plan approved yesterday by the fiscal board provides that opportunity. It is time for the government to execute that plan without delays. As we’ve seen from this quarter results, OFG and Oriental are continuing to play a major role leading the way for consumers and businesses. While we remain cautious in the short-term due to the uncertain economic environment on the island, we are confident positive momentum will prevail in the long-term for OFG, Oriental, and Puerto Rico. Our goal is to continue to sharpen our focus on our retail and commercial clients, improve our service levels, expand our business and build capital. With this, we end our formal presentation. Operator, please open the call for questions.
Operator: [Operator Instructions] And our first question comes from the line of Brett Rabatin with Piper Jaffray.
Brett Rabatin: Hi, good morning, everyone.
Maritza Arizmendi Díaz: Good morning.
José Rafael Fernández: Good morning, Brett.
Brett Rabatin: Wanted to – I have quite a few questions, but wanted to just, I guess, first start macro and this is probably the most optimistic I’ve probably heard you guys in a while and probably more so than when I was on the island during the quarter. Assuming that the insurance monies do start to flow more, we had $7 billion more from HUD, the plan – fiscal plan announced, or I guess, certified yesterday, the Governor’s not on Board. But assuming monies flow heavier to the island in the next quarter or two, I mean, can this actually help the economy grow in the near-term?
José Rafael Fernández: Brett, I think, it’s a little too early to tell. There are too many uncertainties still out there. So given our first quarter results, we’re certainly cautiously optimistic. We had a very good quarter, where we had terrific results and we can hide that reality. But we also can hide the fact that there are still too many uncertainties in Puerto Rico. And particularly, yesterday, the fiscal plan that was approved, there is a clash between the government and the fiscal Board in the implementation and how to implement some of those difficult measures. So it’s going to end up in a protracted – seems to me that it’s going to end up in a protracted legal bankruptcy process. And that process is going to be in the hands of a federal judge and she needs to kind of put the ring around the color, so to speak, so that we can in reality do the right thing from a fiscal perspective. So I say this simply, because from our business perspective, a – it’s a little too early for us to say the economy is going to grow and we have here great back wind coming in with federal funds, because it seems to me that the governor and the government of Puerto Rico fights the fiscal plan, the Treasury of the United States will also have a little bit of leverage with federal funds. And I’m – we’re a little bit uncertain on how those funds are going to flow if there is a protracted fight among the two main players in the island, the government and the fiscal plan – and the fiscal board.
Brett Rabatin: Okay. And then why don’t you maybe get a little thought process on just, one, I know the press release said that the $74 million in the U.S. was very different – and across different industries. But I was hoping to get maybe a little more color on that piece of the production that – just granularity there? And then, if we’re thinking about 2018 and that continuing to bolster your portfolio, could we now assume that you guys might have loan growth in the 8% to 10% range this year, or can you give us maybe a little more color on your outlook for production on loans and the net gain? How you see the U.S. strategy heading there?
José Rafael Fernández: So, again, I’m going on let Ganesh give you the details from a big picture. The way we got this going is primarily to diversify geographically and that remains the main objective here, and we had certainly a good quarter, so – on that area. So I’ll let Ganesh give you some of the details.
Ganesh Kumar: Good morning, Brett. As José pointed out, a primary objective is prudently build a portfolio that’s diversified, not only in geography, but also industries as well, right? So the production is primarily is made up of different credits in form of participations at this point in time. And there’ll be plan to add whole loan purchases to the program during the course of the year, and we are still working on possibilities. So at this point in time, those participations came, the ticket items, ticket sizes anywhere between $4 million to $10 million. Those diversified across manufacturing, transportation and all those basic industries. We understand over here without any exposure to any esoteric businesses. In the credit quality, we are being very cautious as well in terms of the leverage and credit ratios. And we are trying to pick those companies, especially that have proven track record and have a hold on their market – respective market. So that we can feel comfortable about their future performance as well. So, having said that, we were – we are happy in terms of what the team has been able to do this quarter. But at the same time, as I said last quarter, we do not have a number, specific target in play in our minds. We are going to be opportunistic to continue – either continue at the same level or if we don’t, we would probably prioritize the credit aspect of it first before earning – before going after any number. Yes.
Brett Rabatin: Okay, fair enough. Maybe just one last one. Your delinquency trends are still basically below pre-hurricane levels. What would you expect from your various portfolios, as we go forward? Can you give any insurance money showing up? Should delinquencies, in your view, top out here, or should maybe you’re thinking to go higher?
José Rafael Fernández: So, Brett, I – what I would say is, we’re certainly encouraged with the delinquency trends. There are some areas that we need to keep an eye on them. And our servicing teams are focused on making sure that proactively they identify those areas and work with the consumers to help them out. And again, given the uncertainties we want to make sure that, we give ourselves one more quarter to make sure that we feel the trends are moving in the right direction. But we’re certainly encouraged with the trends post-Maria and post-moratorium.
Brett Rabatin: Okay. All right, great. I appreciate all the color.
José Rafael Fernández: Yes, you’re welcome.
Operator: Our next question comes from the line of Alex Twerdahl with Sandler O’Neill.
Alex Twerdahl: Hey, good morning.
José Rafael Fernández: Good morning, Alex.
Alex Twerdahl: Just first off wanted to ask a little more color on the provision $8.6 million that was “used” to replenish the allowance for retail loans charged-off related to hurricanes. What – were there specific characteristics that made these charge-offs hurricane-related versus the other charge-offs during the quarter?
José Rafael Fernández: So, again, we – I’m going to give you a little bit big picture and I’ll let Maritza answer that. But are – we look at the – our provisioning based on our methodology. And we remain, as we’ve been in the past, consistent with that methodology. So I’ll let Maritza give you some details.
Maritza Arizmendi Díaz: So generally speaking this quarter, we – most of our moratorium expires and the charge-offs related to clients that who are participating under that moratorium and who are related to the hurricane.
Alex Twerdahl: Okay. So there were charge-offs of loans that were specifically on moratorium came off and then they were charged-off for whatever reason?
Maritza Arizmendi Díaz: Yes.
Alex Twerdahl: So if I – how should we think about the reserve methodology? And I know you’ve kind of touched on it there for a second. But over the next couple of quarters, I mean, you – in the third and fourth quarter of last year, you put up, I think, something like $30-plus million of reserves that you specifically allocated towards the hurricanes. Should we expect additional charge-offs in subsequent quarters to cause an equal amount of replenishments, or at what point do you think that $30 million whatever you put aside the hurricanes actually will start to come down?
Maritza Arizmendi Díaz: I suppose that was mentioned before. We will consistently assess the request – the allowance for loan losses each quarter, assessing the risk associated to the loan portfolio, including the risk from the hurricane. So we would need to see how each portfolio behaves and we will assess that as time goes by.
Alex Twerdahl: Okay. And then, José, I appreciate some of the commentary you had about the macro outlook for the island and obviously, still a lot of uncertainty out there following the hurricane, following the fiscal plan. But you did put up a pretty nice quarter for loan originations, you’ve had some nice deposit flows. Do you think that this is kind of a blip following the hurricane, or do you think that some of these levels that we’re seeing here kind of more representative of a new normal and that the pipeline is still pretty strong that we could see some of these type of origination paces and deposit growth paces continue, at least, for the next couple of quarters?
José Rafael Fernández: So the way we think about this is, we had a very good quarter and it’s going to be very hard to replicate this stupendous quarter on an ongoing basis, given the uncertainties that we operate in. If we wouldn’t have the uncertainties, we would address the results or concluded the results are 100% due to the way we do business and the way we differentiate ourselves on how we’re bringing in technology. But we know that those things are making a difference and we’re very, very proud and happy about the results so far. But I have to say, we operate in a very, very uncertain and difficult environment, and the headline news are hard to ignore. So we are happy about our results, but we are cautiously optimistic. And what I would point out to all of you is that, let’s see how the second quarter goes. And once we have it grown after the second quarter results, we could be more specific on how we see the rest of the year. But there’s still too many uncertainties out there, Alex.
Alex Twerdahl: Okay. Thank you very much for taking my questions.
José Rafael Fernández: You’re welcome.
Operator: Your next question comes from the line of Joe Gladue with Merion Capital Group.
Joe Gladue: Yes, good morning.
José Rafael Fernández: Good morning, Joe.
Maritza Arizmendi Díaz: Good morning.
Joe Gladue: I guess, I’d first wanted to touch, I guess, a little bit on the loan production and I guess, I look at – ask about the commercial side first. Yes, you noted that there was a decline from fourth quarter, but increase from first quarter. But I guess, I’m looking for a little color on you’re feeling about the commercial side, given – I might have expected some increase just from people businesses recovering from the hurricane and looking at the results. On the other hand, I know a number of businesses following the hurricanes and that was just the declines. I guess, I’m just wondering if you can help us out where you guys think that was, I guess, countervailing pressures fall out?
José Rafael Fernández: No. So, I think, two things come to my mind. One is, we have a pretty good pipeline going forward. But we also have to admit that the competition is pretty fierce. And when we look at pricing and how aggressive there some of these pricings are going in on the commercial side, we need to be cognizant of that, too, in an economy that it’s still even though showing signs of recovery, given the – that – what we have spoken earlier in the call. It’s still a very competitive market, particularly on the commercial middle market, what we call, middle market, which is our sweet spot $1 million to $10 million type of loans. So that’s why I think, you’re going to see a more steady performance from the commercial business here in Puerto Rico for Oriental. I think, while you’re going to see this quarter’s numbers is probably on the lower-end of our range and probably be a little better in the next quarter. But I wouldn’t go further on that.
Joe Gladue: Okay, all right. And I guess, the next question was, you’ve touched on it a little bit there. But the loan pricing and again, noting that the, yes, the average yield on non-acquired loans was down from fourth quarter to first quarter. Just wondering how much of that is competitive pricing on the island? How much of that might be related to the U.S. portfolio? And where do you see that going?
José Rafael Fernández: It has to do a lot with the mix. So when we have a larger components of auto and consumer, it helps us out. But when also you have a more participation there on the commercial side, the Puerto Rico and the U.S., then it pushes down the average yield on the production. So that’s what’s moving it. But in general, remember, we had a pretty good auto loan quarter in terms of production. But we also added some additional commercial loans in Puerto Rico and the U.S. and that has a little bit of a pressure on the yield on that production.
Joe Gladue: Okay. And I guess, I’ll just ask. I imagine that there’s a lot of deposit inflows on the island, given the – this disaster funds and insurance funds. I’ll just ask you to touch on the competitive environment in terms of deposit pricing?
José Rafael Fernández: I would say, it’s competitive and we’re starting to see some players becoming a little bit more aggressive on the CD pricing and that’s kind of what we’re seeing right now. We’re also seeing a little bit of – on the deposit side, there’s a little bit of a volatility, given the insurance companies depositing funds with the banks in the island. So that that money is going to come in and out as they start paying the claims. But in general, when we look at our bank, our retail side of the deposit client is doing very well. We’re growing good clients as we’ve talked about in our prepared remarks. We’re adding net new customers at a yearly clip of 8%, that is tremendous and I think that’s a good boost for the deposit side of it. On the commercial side, we’re very encouraged with our non-interest bearing deposit breaking the billion dollars. And that’s also very encouraging for the relationships we have built so many years on the commercial side, on the small business, and the middle and larger commercial relationships that we have. And so the trends for three or three quarters in a row have shown very positive trends on the deposit side. So we are very happy with that. So far we have – we’re not seeing the level of, let’s say, pressure on increasing the cost of funds, as you guys are seeing in some of the banks in the States.
Joe Gladue: Okay. All right. Thank you.
José Rafael Fernández: Thank you, Joe.
Operator: [Operator Instructions] And our next question comes from the line of Glen Manna with Keefe, Bruyette & Woods.
Glen Manna: Hi, good morning.
José Rafael Fernández: Good morning, Glen.
Maritza Arizmendi Díaz: Good morning.
Glen Manna: I just wanted to ask you a question about – on the credit side, because I think, especially when you look at early stage delinquencies, they compare so favorably with the first quarter 2017, especially after the hurricane. Investors have question, what would happen after your customers came off the moratorium? Would you say that all of – significantly most of your customers that took advantage of a moratorium had they not been paying would have showed up in your early-stage delinquencies this quarter, or is there still a portion that could kind of migrate in, in the second quarter?
José Rafael Fernández: No, there – we’re still waiting on fee. We’re very encouraged with the numbers for this quarter. Remember, the – most of them are moratorium just, I would say, almost all the moratoriums are done. Maybe we have a trickle of some moratorium still available. But they ended in at the end of February, so we only have March. And we’ve said in the prior call, too, and last quarter, where we’re really going to see the aftermath of the moratoriums is in the month of March, which we’re slightly talking about it here, but the confirmation will come in the second quarter of the year. And as I’ve said earlier, we’re optimistic and cautiously optimistic about the trends here on the post-moratorium delinquencies.
Glen Manna: Okay, great. And you had mentioned the funding side before and it looks like that, that was a real win for you guys this quarter. And non-interest bearing deposits breaking the $1 billion mark, they had kind of bounced around in the high $800 million.
José Rafael Fernández: Yes.
Glen Manna: Can you tell us, if you have any idea where those deposits came from? Were they hurricane-related? And what your expectation for the stickiness of those deposits are?
José Rafael Fernández: Yes. So most of those deposits are coming from existing relationships we’ve had in the commercial side and some new ones, but it also is a reflection of the economy. There’s a lot of cash in the economy and the consumers are spending the money and the money is going into some of our commercial clients and they’re already making the deposits with us. So I think, it’s a reflection on the early part of the recovery of the – after Maria. And as I said, I like to confirm these trends in the second quarter to see if we can continue to move forward with progress on the economic front in Puerto Rico.
Glen Manna: Okay. Thanks for taking my question.
José Rafael Fernández: Yes, you’re welcome.
Operator: Our next question comes from the line of Brett Rabatin with Piper Jaffray.
Brett Rabatin: I wanted to follow-up on mortgage banking, which was really strong this quarter. One, it was there – was there anything from a fee perspective that was unusual? And then secondly, I mean, this was basically as good as 4Q 2016 and much better than every quarter last year in pre-hurricane in those numbers. I mean, obviously, production was lighter than it could have been, but in the fee income side hanging there?
José Rafael Fernández: Mostly production, it’s volume and us being – after the hurricane, we had a little bit of a pullback on the originating and selling. So in the quarter, we had a little bit of an accumulation there and that’s why you’re seeing higher fees. But also, it has to do with higher production levels that we had in the quarter.
Brett Rabatin: Okay. And then I just want to go back to the deposit account growth, 8%. Puerto Rico is obviously not growing population by 8%. Is the account growth reflective of wallet share, or are you actually taking market share from your competitors? How should we think about that account growth this quarter?
José Rafael Fernández: So let me give a little bit of a comment here. But I’ll let Ganesh answer that, because he is actually very much involved than leading that effort with the retail team. So I think, it has a lot to do with the investments we’ve made in the past on technology and on people and it’s starting to pay off to us. But I’ll let Ganesh go a little bit more in detail on that.
Ganesh Kumar: We do have positive [ph] reputation as José pointed out. We’re also having very aggressive efforts in our channel points to convert the one service customer, namely the loan customers into a deposit customer as well. So those efforts have been paid off a little bit and that’s what you’re seeing over here, Brett. So, if you’re asking me, are we taking market share? Maybe it’s more of increasing the wallet share than taking market share.
Brett Rabatin: Okay, thanks for that. And then just lastly, the Puerto Rico banks have been on hold for any kind of real capital deployment. And I guess, from an investor perspective, how do you sort of gauge the prospects of maybe using some of your excess capital this year, or should we have basically still you think have to wait until next year for anything meaningful to develop on that front?
José Rafael Fernández: I think, Brett, that – as we continue to deliver results as we’ve been doing in the last two quarters after Maria, the economy and hopefully, the fiscal authorities in Puerto Rico execute on a fiscal plan that gives confidence to businesspeople and investors alike. I think regulators will also come into the fray and feel more comfortable about the dialogue that we continuously have regarding capital management and capital deployment. So I’m, again, repeating myself by saying that we are cautiously optimistic about that, too, given the results so far.
Brett Rabatin: Okay. I appreciate all the color. Thanks.
José Rafael Fernández: Yes, you’re welcome.
Operator: [Operator Instructions] At this time, there are no further questions. I would now like to turn the call over to management for closing remarks.
José Rafael Fernández: Thank you, operator, and thank you all for listening in today. Looking ahead, we’ll probably be scheduling our second conference – second quarter conference call for Tuesday July 24. And we’ll be participating on the Piper Jaffray Bank Conference in Palm Beach on May 15. Until then, thank you again to, everyone, and have a good day and a great weekend.
Operator: This concludes today’s conference call. You may now disconnect. Presenters please hold.